Operator: Ladies and gentlemen, thank you for holding, and welcome to the Wesfarmers 2014 Full Year Results Briefing. [Operator Instructions] This call is also being webcast live on the Wesfarmers website and can be accessed from the homepage of wesfarmers.com.au. I would now like to hand the call over to the Managing Director of Wesfarmers Limited, Mr. Richard Goyder.
Richard Goyder: Well, thank you, and could I add my welcome to the Wesfarmers 2014 full year results briefing. As usual, I'll commence by covering the group's performance highlights, then I'll be followed by each of the group divisional managing directors who will provide a performance summary and outlook for their respective divisions. And Terry Bowen will then provide commentary on the performance of our other businesses and also cover off the balance sheet, cash flows and capital management. Then I'll briefly conclude with an outlook for the group. And as indicated, there'll be opportunities for questions at the end of the formal briefing. So if I move to Slide 4, on the financial highlights. It's pleasing to record a solid increase in underlying profit in our centenary year. Growth in underlying earnings during the year was largely driven by stronger performances in Coles and Bunnings and lower financing costs. The group's goal of delivering long-term satisfactory returns to shareholders through a strong focus on disciplined capital deployment and portfolio management was also demonstrated with the successful divestment of the insurance division and the disposal of our interest in Air Liquide WA. It's always pleasing to record an improved safety performance in all businesses during the year, consistent with the group's strong focus on improving the safety of all our workplaces. In summary, today we reported net profit after tax of $2.689 billion for the year, an increase of 18.9% on the prior year. Return on equity increased 160 basis points to 10.5%. As I just alluded to, the group's profit included the sale of the insurance division and disposal of the 40% interest in ALWA, that together contributed $1.034 billion of after-tax profit, and more than offset a non-cash revision to Target's carrying value and provision for future restructuring of the Coles liquor business. Excluding these non-trading items or NTIs, which collectively contributed a net after-tax profit of $291 million, group net profit after tax increased 6.1%, earnings per share rose 6.8%, and return on equity increased 50 basis points to 9.4%. We have maintained a strong balance sheet and access to capital. We also continue to leverage and build our human resources capability. And I'm very pleased with the smooth leadership succession at Coles during the year. Ian McLeod's performance in leading the initial phase of the Coles turnaround was exceptional, and in John Durkan we have a fine executive to lead the next phase of the Coles journey. Turning to Slide 5, I won't focus too much on this slide, I'll just call out the fact that Group revenues increased 4.2% to $62.3 billion, and earnings before interest and tax from continuing operations and excluding non-trading items increased 3.3%. Turning to Slide 6, consistent with our primary objective of delivering a satisfactory return to shareholders, earnings growth, balance sheet strength, robust credit metrics and good cash flow generations have supported increasing distributions to shareholders, in addition to an increase in the final ordinary dividend to $1.05 per share fully franked, taking the full year ordinary dividend to $1.90 per share. The directors today declared a special centenary dividend of $0.10 per share fully franked, taking the full year dividend to $2 per share. The directors have also recommended further capital management via a distribution to shareholders of $1 per share. This recommended distribution to shareholders is subject to a final ruling by the Australian Tax Office and shareholder approval at the 2014 AGM in November. Terry will cover off more of the details of the announced capital management later in our presentation. On Slide 7, this slides shows five of the nine divisions achieved good earnings growth. The managing directors will talk more to their respective earnings outcomes in their presentations. We feel operationally we're in pretty good shape in all businesses at the moment, other than at Target where, led by Stuart Machin, we're pushing through significant changes. Turning to Slide 8, return on capital. We continue to have a very strong focus on return on capital throughout the Group. During the year we saw good improvements in return on capital in Coles, Bunnings, Officeworks and Kmart. We do accept short-term ROC reductions where significant capital investment takes place, for example, the Chemicals, Energy & Fertilisers division, as we are investors in assets which deliver positive MPV to shareholders over the medium to long term. Some of our divisions did experience lower returns during the year largely due to difficult market conditions as experienced by industrial -- our industrial businesses. Slides 9 through 11 provide summary highlights for each of our businesses for their performances in 2014. I won't cover these divisional performances in any detail, as I've said, the divisional managing directors will do that. But before I pass on to John Durkan, I would sincerely like to thank everyone in our teams for making this year's results possible. Special thanks go to Anthony Gianotti and those in the insurance division who continued to perform so well during the divestment process. It is a great testament to their professionalism. Anthony is now off to the Advanced Measurement program at Harvard, which I'm sure he's going to very much enjoy. At a Group level, we continue to invest in and strengthen our human resource capability which I believe is the critical core competence of the Group. Our balance sheet strength and capital efficiency afford the Group the opportunity to invest should opportunities arise, and also return capital to shareholders when it is in the interest of our shareholders. We're about creating value. We're doing that within our businesses and for our millions of customers. We're also about providing increased opportunities for our employees and for our suppliers to innovate and grow with us as we invest in all of our businesses. From our beginnings as a small Westralian Farmers cooperative, we have grown out of the last 100 years to be an important contributor to both the Australian and New Zealand economies. The Group now employs, post the sale of the insurance division, 203,000 people. And this year, as I said earlier, recorded sales revenue of over $62 billion by delivering great value and service to our customers and helping thousands of suppliers expand their businesses. During the year, the Group paid $7.8 billion in wages, $1.9 billion in federal and state taxes, continued to deepen wide-ranging community involvement programs, and distributed $2.7 billion to over 500,000 shareholders, a large majority of whom are Australian-based retail shareholders. A century on, the Group's primary objective remains to deliver satisfactory returns to our shareholders, and at yearend, a $1,000 invested in Wesfarmers shares on listing in 1984 would have been valued at $292,000 assuming the reinvestment of all dividends and capital returns, which compares to $23,000 for the ordinaries index over the same time period. On that, I'll hand over to John Durkan who will present his first year of Coles results.
John Durkan: Thank you, Richard. I will first start with the financial highlights on Slide 13. During the year, the total revenue increased by 4.5% to more than $37 billion, $1.6 billion more than last year. Our comparable food and liquor sales grew by 3.7%, against strong comps sales in the previous year. During the year we invested further in lower prices, resulting in deflation of 1.3%. This reflects Coles continued commitment to lowering prices. Coles earning growth was twice the rate of revenue growth, with EBIT reaching $1.67 billion. Food and liquor key performance metrics improved with high volume, basket size and transactions, which resulted in EBIT growing 12.3% to $1.5 billion. Our convenience business Coles Express experienced revenue growth of 4.1% to $8.1 billion. EBIT was down, driven mainly by reduced fuel volumes as a result of capping fuel dockets and increased funding of fuel dockets following our undertaking [indiscernible]. I will now turn to Slide 14. The left-hand side of this slide will be familiar to many of you as it was presented at the strategy briefing in May. I'll remind that this is not [indiscernible] but where we believe Coles is positioned today compared to Coles six years ago, and how we compared to the world's best in terms of a number of key metrics. It shows that there's still a long way to go. The Australian retail market today is highly competitive, and this competition is increasing. Cost of living continues to grow for Australian households and many consumers remain cautious. In this environment, lower prices remain just as important today to our customers as ever. Combine this with increasing cost pressures we are facing, it is clear that Coles will need to continue to invest in value and drive efficiencies across our supply chain and stores for future growth. I'll now turn to Slide 15. Throughout the year we have invested in strong promotions with Celebrate Specials and more consistent pricing with our Deeper Down Downs, especially on Coles brand. Using flybuys, we've been able to provide customers with additional value that is relevant to them. Improving the quality of fresh food has been an area of focus. The quality of fruits and vegetables is the highest it's ever been, and we're seeing strong volume participation, higher basket sizes and sales as a result. We continue to build longer-term strategic partnerships with our suppliers. Our ten-year commitment with Murray Boulburn to supply Coles brand fresh milk in Victoria and New South Wales has enabled them to invest $160 million in two states-of-the-art milk processing plans in Melbourne and Sydney. We lead the market in our strong animal welfare credentials with initiatives such as hormone-free beef, sow stall free pork, and RSPCA approved chicken. Working with suppliers to further improve the quality and consistency of our fresh offer will continue to be core and is fundamental to our strategy of greater focus on fresh food. I'll now turn to Slide 16. To enable further investment in value in fresh food, we will continue to drive productivity and efficiency through our business. And we have significant opportunities to do so through simplifying our business. During the year we've begun to implement easy ordering for meats and bakery and produce. This follows on from stores previously implementing easy ordering across our grocery department. We've made it easier for customers to shop more quickly with assisted check-outs now in 83% stores. We've been optimizing transport with better planning and utilization. An example of this is we've continued to buy our own trailers and have moved beyond Victoria and Queensland. These trailers are built the size of our stores and help to improve productivity, resulting in lower cost per carton and increase in cartons per load. Looking forward, we are making investments today to further simplify our operations. We're investing in improved points-of-sale technology which will deliver sustained benefits for customers and team members, as will our new workforce management system, which will simplify our rostering process and enable stores to have the right team providing the right service at the right time. I'll now turn to slide 17. I'm proud of the progress we've made in extending into new channels and services that give Coles access to new sources of revenue, and we know that when we have more touch points with customers, we have more loyal customers. In financial services for example, we're committed to offering Australian families great value and lowering the cost of their weekly shop. In July we announced plans to form a 50/50 joint venture with GE Capital. This JV will initially offer credit cards and personal loan products. We expect operations to commence during 2015. The JV will leverage new payment technologies such as the newly-launched Mobile Wallet. All 400,000 of our existing credit card accounts will be part of this JV. Coles Insurance performed strongly with more than 350,000 policies at the end of the financial year, a 65% increase on the prior year. We continue to improve our data analytics capabilities and flybuys to deliver more value to our customers. Following the relaunch of Coles Online, we saw a 48% increase in the number of new customers, and website traffic grew by 70% from the prior year. We'll keep growing this part of our business with more Coles Online stores and Click and Collect locations. I'll now turn to Slide 18. Accelerating our sales density growth will continue to be a big thing for us. One area where we started is looking at the macro space in our stores and rebalancing our layouts according to customer demand to ensure better availability and store efficiency. This has resulted in higher customer transactions, volume, baskets, and consequently, sales density in those stores. We've grown our new space at a faster rate in FY14 and have built a strong pipeline to support new space growth. We opened 19 new stores during the year, concentrating on priority network areas and have closed 13 sub-optimal stores. As I've said, we'll continue to -- the renewal program at pace. We've renewed 55% of the fleet over the last six years and plan to finish the rest over the next three years. This is to ensure that we provide our customers with a consistent experience across our network and build our sales density. We continue to be highly disciplined and focused on returns. We have made good progress on our property divestment program, selling 23 sites, resulting in $230 million of capital being recycled. The ISPT joint venture now contains 23 properties, and we will continue to add to that. I'll now turn to Slide 19. As I said in May, liquor is clearly an underperforming business and we've just started on the journey of the turnaround of this business. I expect FY15 will be a transitional year for our liquor business. The liquor turnaround is similar to the Coles Supermarkets turnaround. We are realistic that this is not a challenge which will be overcome in a few short weeks or months. It's early days for Greg and the team in our liquor business. In July we announced a major program to support our liquor restructuring activities and have commenced closing underperforming stores as well as rationalizing the range. Our strategic priorities in liquor are similar to what we outlined in May, reshaping and right-sizing our liquor network, rationalizing the range, improving the customer offer and experience, and increasing efficiency and productivity. I will now talk about our convenience business on Slide 20. As I have said previously, fuel volume and overall convenience EBIT has been affected by the A triple-C fuel undertakings around reduced discounts and changes to docket funding arrangements. This is something we'll have to cycle for the rest of the calendar year. However, we have a strong business in Coles Express. We have seen the trend towards premium fuel and diesel continue, and [C-sharp] has been performing strongly. I will now turn to Slide 21. So in summary, we will continue to be a customer and sales-led business. In fact, we will be putting an even stronger focus on our customers going forward. As customers remain cautious and competition in retail increases, we will be investing in lower prices and fresh food to drive sales and transactions. To help fund these investments, we'll be simplifying our ways of working and reducing our cost of doing business. While we'll be investing in future growth, this will be done so in a disciplined manner, with continued focus on return on capital. I look forward to the opportunities ahead, future growth of Coles, as we focus on the seven strategic priorities we outlined in May. I will now hand over to John Gillam.
John Gillam: Thanks, John. I'll kick off with the Bunnings section which is starting at Slide 24. Across the 2014 year, Bunnings has delivered a good all-round performance. Our strategic agenda focuses on multiple growth drivers and actions to strengthen our business. We're giving customers more value that is serviced and accessed to an even wider range. We flowed product more effectively, made things better for our team, and better for the communities we serve. The strong financial results across sales, earnings and returns are an outcome of these actions. Moving to the highlights, and I'm on Slide 25, total store sales growth of 11.7% was pleasing. In absolute terms, revenue increased in the year by $885 million. Sales growth came from consumer and commercial areas within every trading region. All of our merchandising categories performed well, as did our new stores. The 8.4% store-on-store growth number highlights the underlying strength of our network and our total market capability. Positive trends in all our service metrics were a highlight, alongside strong value creation. We enhanced our ranges with good innovation in product development, helped by strong global and local support from leading brands. Our store teams and merchandising teams have done a great job. The growth in commercial activity is very exciting and we're successfully expanding our business in this area. We have challenged ourselves over the past couple of years to accelerate our brand reach, expanding our physical network, as well as increasing the depth and breadth of our digital ecosystem and the services we offer. This work is really delivering for us, with a record number of new Bunnings warehouses opened and record levels of web participation. Turning now to Slide 26, creating more value for customers lifted volumes, and that helped drive higher earnings, alongside the other elements of our growth agenda and the productivity gains made within stock flow and core processes. Our earnings result absorbed the impacts of increased network development costs and value creation. Having the best offer is crucial to long-term success. Ongoing work to upgrade stores or replace older sites that we've outgrown is essential to bring our full merchandising offer and our latest service [indiscernible] to customers. This work adds cost when it occurs, but the rewards are attractive as our rate of same-store sales growth demonstrates. Our growth agenda creates a lot of activity. CapEx for the year of $530 million include an investment across all growth drivers and investment for further productivity gains. We also completed a significant quantum of capital recycling initiatives in the period with the innovative securitized lease transactional highlight. Terry will talk to these later in the presentation. As the chart bottom-right on this slide shows, our return to industry-leading levels and are trending as planned. Investing for growth continues with our brand reach accelerating in line with our comments at the May Strategy Day. We're on track to deliver 40 new Bunnings warehouse stores across the next two financial years. By way of an update, at the start of this week we have about 80 sites in the pipeline, of which 19 are under construction, and a further eight have builders appointed and are about to start. We're excited about the strength and quality of the new sites we will open in the short to medium term. Two additional points to note, within the supplementary pack, you will find on Page 11 a more detailed breakdown of earnings showing EBITDA, property and trading EBIT information. Also in the supplementary pack, on Page 12, is a summary of milestones to mark the 20th anniversary of the opening of the first Bunnings warehouse which occurred on 24 August, 1994. Turning back to the main presentation pack, and I'm now on Slide 27, and looking at the year ahead. We expect our growth agenda to drive further uplifts in both consumer and commercial volumes. Clearly we'll be cycling against our own strong growth and we're watchful for increasing competitive volatility, but we're up for all these challenges. Actions to support the higher volumes and strengthen core business elements will continue, with more productivity gains anticipated. We're on track to open 20 warehouse stores this financial year and widen our brand reach digitally and physically. In summary, I'm pleased with the tremendous team effort that underpins these good results. More importantly, great work from the team has positioned the Bunnings business to continue performing strongly. Moving now to Officeworks, and I'm on to Slide 28. The result achieved by Officeworks across the 2014 financial year were really pleasing, building successfully on their good work and market share gains from preceding years. The business traded well relative to the wider market. All key performance measures lifted. Good safety trends, rising returns, 4.6% revenue growth, and a very good 10.4% lift in EBIT. Clearly a standout year's performance for the Officeworks team. Moving to Slide 29 and looking at some highlights in more detail, the chart on this slide shows how the strength of the Officeworks presence in Every Channel -- stores, online and direct -- had delivered six years of consecutive revenue growth. The investment in new categories, good merchandising innovation and well-executed store refurbishment work have all helped drive continued revenue growth. Transactions grew at an even faster rate, with annual store transactions now exceeding 30 million. Online volumes also kept trending pleasingly, with online sales approaching the $200 million level. The uplift in revenues was leveraged into a stronger earnings performance, with the quantum of EBIT breaking through the $100 million for the first time. Turning to Slide 30, customers continue to respond favorably to Officeworks' Every Channel strategy. The fully aligned one brand presence gives customers the convenience of shopping whenever -- I'm sorry -- wherever and whenever it suits them. This in turn opens up wider growth options for Officeworks. Six new stores were opened during the year. A new online platform was successfully launched in the fourth quarter and good gains continue to be made in the B2B market. The chart on this slide highlights six successive years of earnings and ROC growth. Over the 12 months, heavy lifting continue within the business to enhance logistics and core processes to lower costs and to use trading capital more effectively. All of this work, coupled with the revenue-led growth in earnings resulted in Officeworks delivering further improvements to ROC. I'd like to take this opportunity to congratulate Mark Ward and the Officeworks team on a terrific year's work. Moving to Slide 31. The outlook for Officeworks is for ongoing growth in a competitive market where continued pressures on sales and margin are a feature. The strategic agenda to the business is very sound. The teams continue to evolve and innovate the merchandising strategy to expand that addressable market. Enhancing the fully-integrated Officeworks offer for customers across every channel and leveraging growth and productivity work is uppermost in those plans. I'll now hand over to Guy.
Guy Russo: Thank you, John. I'd like to take you through Kmart's performance for the year, on Slide 33, highlight our key achievements, and give you an insight to our short to medium-term plans. Kmart's revenue for the year was $4.2 billion. Our total revenue grew by 1%, with comparable sales increasing by 0.5%. Excluding the effect of removing Christmas [layby] and the toy sale event in July 2013, comparable store sales increased 1%. Earnings of $366 million represented a 6.4% increase from last year. Growth was achieved as a result of improvements in range assortment, sourcing, inventory management, and management of cost of doing business. The rolling 12 months return on capital improved 100 basis points from last year to 26.9%. Safety also improved on last year, with an improvement of over 20%. On the next slide, Kmart continues to deliver value to customers by providing everyday items at the lowest possible price. We've achieved 18 consecutive quarters of growth in transactions and units sold. Growth was achieved through improvements in range management and a focus on end-to-end productivity. Foreign exchange rate pressure was managed through Kmart's hedging and pricing policies. We continue to invest in our store network with five new Kmart stores and three new Kmart Tyre & Auto stores opened during the last year. We also completed 16 major store refurbishments. Coming to the outlook slide, we will continue to focus on growth through our key strategies including being a volume retailer, driving operational excellence, continuing to develop and deliver an adaptable store format, and driving a high-performance culture. We've commenced and accelerated store refurbishment programs with 33 store refurbishments and 11 new stores in the pipeline for the new financial year. We'll focus on expanding our growth categories and continue to improve end-to-end efficiencies across the business to enable us to maintain our low price leadership. Safety will also remain a key priority for us and we'll continue to focus on strengthening our ethical sourcing standards. I'm very pleased with my team's results for the previous year. And I thank you for your time today. And I'll now hand over to Stuart.
Stuart Machin: Thank you, Guy, and good morning everyone. I will now provide you with a brief overview of Target's financial results for FY14, the progress we have made against our transformation plan also. Starting on Page 37, consistent with the guidance given at the beginning of July, EBIT for the year was $86 million, revenue of $3.5 billion represents a 4.3% decline in the prior year. Pleasingly, our safety performance continues to improve. Turning to Page 38. This was always going to be a transitional year for Target, with earnings affected by the necessary implementation of our "first price, right price" strategy, which run ahead of sourcing improvements. During the year we incurred an additional cost to clear aged and seasonal inventory, as well as manage the customer reaction to reducing our reliance on heavy promotional activity. On a positive note, we had lower costs of doing business, as well as an improved stock loss performance. We're also progressing well on our transformation plan, with a clear strategy in place which I shared with you at the Investor Day in May where our product fashionability [ph] has improved, we are seeing stronger sales and overall customer transactions have now stabilized. Turning to Page 39. You will see the progress on this slide we made against the strategies I outlined in May. In particular, we've opened new stores, we have upgraded our format in these stores, and we have refreshed three existing stores to improve the customer experience. We've reduced our SKUs by 22%, improved fashion, style and quality, particularly as we entered spring/summer of this year. We've invested in lower prices and made progress in consolidating our supply base. And finally, we've commenced our supply chain restructure included investments in better systems to achieve greater stock visibility, efficiency and improve availability over the coming years. Finally, turning to Page 40, we will continue to make significant changes to the business in the next 12 months, with a focus on fixing the basics and investing in the future of Target. Following a slow May and June, we expect the first half of FY15 to be affected by winter clearance. This is an exciting business and I remain confident that we are doing the right things to make Target [great again]. I will now hand over to Tom.
Tom O'Leary: Thanks, Stuart. Looking now at the Chemicals, Energy & Fertilisers performance summary on Slide 42, and starting with safety performance at the foot of the slide. I'm pleased to be able to report an improvement in the full year lost time injury frequency rate for the divisions at 3.1. We've devoted significant time and resources to improving safety, including an increased focus on the role of leadership to strengthen engagement across the workflows on behaving safely. And we continue to look for new ways to ensure that safety remains fresh and relevant in all of our businesses. Turning to financial performance, divisional earnings for the year were $221 million, down 11% on 2013. The $95 million gain on the sale of our 40% share in the Air Liquide Western Australia industrial gas business is excluded from the divisional result and reported as a non-trading item within corporate and other. Return on capital for the year was 14.4%, a reduction on the 17.8% achieved at the same time last year, bearing in mind though that the 2014 result includes the full impact of the investment in the ammonium nitrate expansion. Turning to highlights on the next slide. We're pleased with the outcome of the sale of our interest in ALWA, and we're continuing to work through approvals, including ACCC clearance for the sale of Kleenheat's east coast business. Our ammonium nitrate expansion, AN3, was completed during the second half, within budget and the originally announced timeframes, and really pleasingly, with no lost time injuries recorded over the 2.1 million hours worked on the project. The plan is commissioned and is performing well. At an operational level, as foreshadowed at the half, earnings from our chemicals business in the second half were below the prior year due to the impact of the repair costs and lost production from the unscheduled outage of the second ammonium nitrate train. Again as I've flagged, earnings from the ammonia business were below the previous period despite strong plant performance due to the introduction of new gas supply arrangements for a portion of our gas requirements following the expiry of a long-term contract. With the successful completion of the expansion of our sodium cyanide production facilities, again within budgeted time and cost, and without injury, the business is well-placed to reduce its per-year operating cost as production throughput increases. So it's better-placed to compete in what are tougher markets given prevailing gold prices. Australian Vinyls improved on increased construction activity in the second half and an improvement in the spread between global PVC and raw material prices. In Kleenheat, as expected, earnings were below the prior year as LPG production declined by around 25% on lower LPG content in the Dampier to Bunbury pipeline. Earnings from the fertilizer business recovered in the second half, offsetting weak volumes in the first half as a result of the very dry conditions back in June 2013. Our record grain harvest in Western Australia combined with strong commodity prices contributed to good financial outcomes for the majority of growers and an improvement in margins from the previous year. Turning to outlook, on Slide 44, demand for ammonia and ammonium nitrate remain strong and we'll benefited a full year's contribution from AN3 this year. As indicated at the half, this uplift will to an extent be offset by lower ammonia earnings following high gas input costs. And we have a scheduled shut of the ammonia plant in September. The gas price impact to earnings is expected to be approximately $30 million. As I mentioned at the Strategy Day, we'll lose the benefits received from proactive abatement activities we'd implemented in our nitric acid plants, and that impact will be approximately $20 million. Kleenheat remains dependent on LPG production economics and global pricing. There continues to be strong growth potential from the natural gas retailing business, albeit this is off a small base. And we expect to complete the sale of the Kleenheat east coast business in the coming months subject to approvals, though this is unlikely to have a material impact on underlying earnings for the year ahead. The 2014 growing season has had a strong start, and in fact we've seen record sales of our Flexi-N liquid nitrogen fertilizer in July. Full year earnings though will as always remain dependent upon a good seasonal break in the second half of the financial year. I'll now hand over to Stewart Butel.
Stewart Butel: Thanks, Tom, and good morning, good afternoon everyone. I'll refer you to Slide 46. Operating revenue of $1.5 billion was similar to the preceding year. Export market conditions remained challenging. [Indiscernible] coal prices were down 17.6% compared to last year. The impact of lower export prices was largely offset by record coal production and sales achieved at both mines, and a comparatively weaker Australian dollar. Total royalties for the year were down $41 million. The [indiscernible] royalty of $102 million was down $52 million on last year. We also saw higher government royalties of $119 million, which were up $11 million, reflecting increased export sales volumes. Mining and other costs were up 5.6%, due to a significant increase in mining activity associated with record coal production. Unit mine cash costs were lower at both mines, reflecting our continued focus on cost control and operational productivity improvement. Earnings before interest and tax of $130 million was down 12.2% or $18 million on FY13 results, reflecting the significant decline in coal prices as previously mentioned. Pleasingly, the division remains profitable in a challenging export marketplace at the bottom of the pricing cycle. I'll now refer you to slide 47, resources highlights. Following our ongoing focus on safety performance, our lost time injury frequency rate and total recordable frequency rate for this year were 0.6 and 5, respectively, which represents a major improvement from the previous year as we target zero injuries and accidents. Record coal production and sales was achieved at both our mines. Curragh's metallurgical coal sales volumes was up 21.7% on last year, with Bengalla sales up 13.8%. At both our mines, our focus remains on cost control and productivity improvement. Continuing from prior year's efforts, Curragh has been able to achieve a 37% reduction in the unit mine cash cost per ton in the second half of FY14 compared to the peak recorded in first half FY12. Our cost and productivity performance was supported by favorable geological conditions during the year. As mentioned in the last slide, export prices were down significantly on the previous year. Curragh's met coal prices were down 19.3% and Bengalla steaming coal prices were also down 14%. However, record production and sales has largely mitigated the adverse effect of continued export price weakness on revenue. The Bengalla stage two expansion to 10.7 million tons per annum of ROM coal or steaming coal production was approved by the joint venture in July 2004. Increased production is scheduled to commence in FY16. I now refer you to slide 48, resources outlook. The outlook for the export marketplace remains challenging. The global metallurgical coal market remains in near term oversupplied. Continued low export prices are anticipated in the first half of FY15. Metallurgical coal prices for Q1 FY15, the quarter that we're currently in, 21% lower than that achieved in Q1 FY14. Curragh's metallurgical sales volume is forecast to be in the range of 7.5 million to 8.5 million tons for financial year 2015. Estimated full-year sales mix is forecast to be 44% hard-coking coal, 26% semi and 30% PCI. Stanwell royalties are estimated to be in the range of $60 million to $80 million for the full year. Less favorable mining conditions are expected in FY15. Our focus continues to be on cost control and productivity improvement. I'll now hand over to Olivier to address the Industrial & Safety Division.
Olivier Chretien: Thanks, Stewart. Good afternoon. I will now cover the Industrial & Safety Division. As you can see on Slide 50, the division's full year results was impacted by sustained market pressures. Operating revenues were down 1.6% to $1.62 billion, earnings before interest and tax decreased to $131 million, down from $155 million. Return on capital decreased from 14.7% to 11.6%. And our continued focus on safety behaviors resulted in improved outcomes. Looking at some of the key highlights for the full year on Slide 51. The division continued to be impacted by reduced demand from most industrial sectors, especially mining and manufacturing, due to customers' heightened focus on cost reduction. And this particularly impacted some of our specialist businesses in Australia. However, by realigning the division to higher-growth sectors and market share opportunities, good growth was achieved in construction-related activity in oil and gas projects in WA, Queensland and the Northern Territory, Coregas geographical expansion and the step-change in gas distribution capabilities, including for Blackwoods and [indiscernible] Bunnings. And New Zealand continues its positive momentum on the back of the rebound in construction activities. In response to adverse market conditions overall, the key priority this year was to realign the division's cost base, while improving its service capabilities. The network was rationalized through the closure of 25 branches and the 7.1% reduction in headcount excluding acquisitions. In addition, the division also aligned itself with geographical growth opportunities for a number of branch relocations and increasing gas distribution points. However, this insufficient to offset during the full year the impact of volumes and margin pressures. Supply chain and distribution capabilities were enhanced by the completion of new distribution centers in Sydney, Adelaide and Mackay. The new Blackwoods [indiscernible] facility in New South Wales contains leading-edge technology which is expected to provide significant efficiency and performance benefits. Across all our market segments, division still maintains an unrivalled value proposition as illustrated by our strong customer retention across all our industry segments. Key initiatives implemented throughout the year include a restructure of the division into three business streams, focused on delivering service and value to the customers, the launch of our brand of [indiscernible] which is gaining strong traction in the market, an expansion of our onsite services with a broader range of inventory management and [scanning] services, the Greencap acquisition which helped us deliver our step-change in safety services capability to continue [indiscernible] to be a full solution provider. We have also invested in our digital channels to improve e-business capabilities and online businesses. We've developed integrated supply offers to large customers [indiscernible] total cost of ownership. And I would like to thank our team for the hard work this year to position our business for the future. Now turning to the outlook for the Industrial & Safety Division on Slide 52. The market conditions are expected to remain subdued, with limited volume recovery and ongoing strong margin pressure. However, the division is well-placed to respond to a market recovery. The immediate focus is to continue growing our market share for better service and value, lowering the cost of doing business, and improving our delivery performance for investments in supply chain and technology. We are currently finalizing major reviews of our supply chain and sourcing, as well as negotiations to [indiscernible] for our new ERP development. Accelerating new growth platforms, including new industries, digital channels, new gas channels, and leverage the division's position as a complete industrial and safety solution provider. And the division will also actively target acquisition opportunities to complement organic growth. Thank you. I will now hand over to Anthony Gianotti.
Anthony Gianotti: Thanks, Olivier, and good afternoon everybody. Turning to the Insurance performance summary on Slide 54. As a result of the divestment of the Insurance Division during the year, the reported results for the 2014 financial year reflect the full 12 months contribution from our underwriting operations, with the sale to AIG completing on the 30th of June, and 11 months of contribution from the broking and premium funding businesses, with the sale to Arthur J Gallagher effective on the 31st of May. Overall the division reported a strong result, with earnings before interest and tax increasing to $220 million, an increase of 7.3% on the prior year. The result was achieved despite a $45 million increase in Christchurch earthquake reserves booked in the first half of the financial year, as well as lower earnings resulting from the part-year contribution of our broking and premium funding businesses. Excluding the increase in earthquake reserves, earnings before interest and tax increased by 29.3% to $265 million. Total revenue for the division of $2.17 billion represented an increase of 4% on the prior year, with like-for-like revenue for the division increasing by 6%. Return on capital remained steady at 14.7%. Reported earnings from our underwriting activities were $32 million or 22.5% higher than the prior year at $168 million. The underlying combined operating ratio, excluding the impact of earthquake reserve movements, improved to 90.4% from 95.3% in the prior year. Reported earnings from our broking operations of $65 million were $21 million lower than the prior year due to the part-year contribution following the sale of the businesses in May. On a like-for-like basis, earnings were higher -- sorry -- higher than the prior year off the back of a 9.6% increase in revenue to $278 million. Now turning to the Insurance highlights on Slide 55, and firstly across our underwriting operations. Improved earnings continued through the year as the focus on disciplined underwriting and pricing was maintained. A continuation of the favorable claims environment in the second half of the year resulted in a strong improvement in underlying loss ratios across most portfolios. Claims from natural perils were also below our internal expectations for the year. Despite some disruptions to underwriting sales activity as a result of the divestment process, premium grew strongly, with gross written premium increasing by 6.9% to $1.76 billion. This growth was driven primarily from the debut [ph] by Coles personal lines and New Zealand portfolios which also benefited from favorable exchange rate movements. Growth in earned premium of 11.1% continued to benefit from strong premium rate increases that were achieved during the previous financial year. During the 2014 financial year, premium rate increases moderated, with some softening in premium rates across commercial classes. Average rate increases achieved across the Australian portfolio of 3.2% and across the New Zealand portfolio of 2.5% were well below those achieved in the previous 12 months. Strong customer interest across Coles Insurance offering continued into the second half, with policies in force at 30th of June now exceeding 350,000, up from 200,000 a year ago. In New Zealand, the business continued to support customers through the Christchurch earthquake claims process. We settled claims now above 75% and ahead of the industry average at 68%. Pleasingly, earthquake reserves remained stable in the second half, reflecting the increased maturity and robustness of the earthquake claims process. Earnings from investment income were $5.7 million lower than the prior year due to lower average yields on fixed interest deposits. And this was in line with lower interest rates over the period. Turning to the broking operations. As I've previously mentioned, our reporting earnings for the broking and premium funding businesses for the current financial year were lower due to the part-year contribution. However, on a like-for-like basis, commission and fee income increased by 10.2% and earnings were slightly up on the prior year. Growth in broking revenue was achieved organically, with no material contribution from acquisitions during the year, and favorable exchange rate movements also contributed positively to the reported growth. In New Zealand, Crombie Lockwood continue to achieve good growth in revenue and earnings despite a more competitive premium rate environment and high level of expenditure associated with the final stages of the broking system replacement project. In Australia, earnings and revenue adversely impacted as [indiscernible] continued to face difficult conditions in the SME sector and felt the impact of softening premium rates in commercial classes of business. Across premium funding, the operations continue to perform well, with both loans advanced and margins well ahead of the previous year. Overall it was an extremely -- it was extremely pleasing to see the division deliver its best-ever financial results in its final year of operation under Wesfarmers' ownership. I'd like to personally thank everyone who has been part of the Wesfarmers Insurance team for their commitment and contribution to the success of the division, and I wish them well in their transition to new ownership. Thank you. I'll now hand over to Terry Bowen.
Terry Bowen: Thanks, Anthony. Good afternoon everyone. I will now provide an overview of the performance of the Group's other businesses, as well as cover off on the balance sheet, cash flow, funding position and capital management activities. Turning to Slide 57 and the Group's other businesses. Our other businesses and corporate overheads reported an expense of $122 million in the year, excluding non-trading items. And this compared to an expense of $119 million in the prior year. The earnings from the Group's share of profit from associates were $45 million this year, and that compares to $22 million last year, higher mainly because of BWP and a better contribution from Gresham. Our corporate overheads were $113 million versus $108 million last year. Other expenses increased by $18 million to $64 million, mainly due to self-insurance provisioning post the insurance tap-out [ph] -- increasing self-insurance provisioning post the Insurance Division sale. And also reported in other are a number of non-trading items, and these are covered in detail on Slide 58, but have been generally mentioned, just recapping them again, in total recorded non-trading items for the year represented a net pretax profit of $364 million. This is made up of gains on the Insurance Division, gain on the Group's sale of 40% interest in Air Liquide WA, a non-cash revision to the carrying value of goodwill allocated to Target as part of the Coles Group acquisition, and a provision relating to the cost of future liquor transformation activities last year associated with store network restructuring. Turning to working capital on Slide 59, our working capital productivity in the Group continued to improve during the year, with a net 1.8 day improvement in net working capital that. Since the 2009 financial year, the Group's net working capital productivity now has increased by approximately 46% to what it was when we began. This largely reflects growth and supply chain improvements in Coles but it also reflects a large turnaround in the Kmart working capital position over that time, as well as general improvements in working capital in all our divisions. In terms of cash movements in working capital over the year, as you can see we've had an outflow across the Group of $331 million. This is driven by reduced working capital cash flows, reflecting increased retail inventory as a result of store network growth, and also the stock-build ahead of promotional events, particularly in Target, the toy sale. Strong creditor inflows of last year were also not repeated this year, and you can see that quite clearly due to an additional payment run in Coles mainly. This is because of the financial year ended on a Monday which is by far our largest day of the week in relation to creditor runs. Relative credit cash flows also reflected the non-repeat of last year's strong cash releases associated with the working capital turnaround of Kmart that I've mentioned. Further information on the balance sheet and working capital is available on the supplementary pack, and we've also made adjustments hopefully to make it easier to reflect the sale of the Insurance Division on the balance sheet. Turning now to Slide 60, operating cash flows for the year of $3.226 billion were $705 million below last year. Cash realization rate of 92% being recorded. The lower cash realization during the year, as I mentioned, was largely driven by those working capital cash flows from the retail portfolio. If we adjust for the additional creditor payment run in Coles which was approximately $315 million, we see a cash realization ratio, if you like, on a like-for-like basis, of more like 101%. You can see last year 118% was very strong. So the 118% and 92%, you know, obviously probably high last year, lower this year on a like-for-like basis. This is consistent with the guidance that we've given you, which is that the Group remains highly cash-generative, albeit the historical cash realization levels that we've seen of well over 100% are expected to moderate, certainly in the next couple of years, as we see an improvement growth and the non-repeat of significant working capital turnarounds achieved in recent years with the acquired Coles Group businesses. Turning to Slide 61, gross capital expenditure of $2.2 billion was $98 million or 4.2% below the corresponding period. We saw significant investment continue to be made in Coles and Bunnings to improve and optimize their store networks, and Kmart also accelerated this year its store refurbishment program. Other major capital projects in the year include the expansion of the ammonium nitrate and sodium cyanide capacities at Kwinana, as well as the acquisition of MDL 162 at Curragh. Proceeds from the sale of property, plant and equipment during the year were $1.01 billion or $358 million above the prior year. This resulted in net capital expenditure being $456 million lower than last year. If we look towards the 2015 financial year, we're currently expecting net capital expenditure to be in the range of $1.5 billion to $1.9 billion for this year, but that'll as always be dependent on freehold property activity. Looking specifically at freehold property disposals, on Slide 62, as we've heard mentioned, as part of our discipline in respect of capital employed, the Group seeks to optimize its return on capital through effective property recycling, property recycling activity did accelerate this year with approximately $1 billion of freehold properties invested. Within this result, we continue to pursue innovative sale and leaseback structures which have been evident in support of our traditional sources. Significant disposal activity during the year included the sale and leaseback of 12 Bunnings stores to BWP and 15 Bunnings stores via a securitized lease structure. Collectively, these transactions realized $591 million. As John Durkan indicated as well, the ISPT JV continues to grow and we've now got 23 stores in that structure. Turning to our financial obligations and funding sources on Slide 63, as illustrated on the chart on the left, at the 30th of June, our obligations relating to operating leases were $15.2 billion on an undiscounted basis, or about 76% of our total fixed financial obligations. This is significantly more than our external debt obligations, which represent 24% of our total obligations. We seek to risk-manage our debt obligations by prefunding maturities and maintaining access to a diverse range of debt capital markets. As shown in the chart to the right, the Group's debt profile is in very good shape. At the end of the year, medium terms represented nearly all -- medium-term bonds represented nearly all of our Group's drawn debt. Turning to the maturity specifically, on Slide 64, and we seek to ensure a good maturity profile on our non-lease [ph] debt. You can see this. The chart shows a very good staggering of maturities and a very manageable and low level of debt maturing in any one year. Upcoming maturities include $500 million of domestic notes, which matures in September this year, as well as $1.25 billion in syndicated facilities with our banking partners, that matures in December. In regards to the operating lease commitments that I've mentioned, our strategy there is pretty simple, and that's to ensure security and risk management of our lease tenure by appropriate initial length fixed-term lease periods and an extended tenure optionality at our future discretion. Turning to the funding costs, on Slide 64, the Group's financing cost decreased by -- to $363 million for the year. This compares to $432 million last year. And the Group's effective borrowing costs decreased 122 basis points to 5.43% for the year, as well as successful refinancing initiatives that we've completed over recent years now. The reduction in the borrowing cost also, as I've mentioned before, reflects a much better efficient use of intra-month cash receipts towards term debt reduction. The guidance in regard to our effective borrowing cost for the 2015 financial year is a gain around 5.4% as we expect interest rate savings to moderate, this is largely as a result of our mix of debt which is currently weighted towards a much lower percentage, if you like, reaching down at the moment of short-term bank debt. Turning to the Group's credit metrics on Slide 66, we saw further improvement in our metrics. Cash interest cover increased to 15.9 times from 12.2 times, and fixed charges cover increased to 3.2 times from 3 times. Post the sale of the insurance division, our credit metrics remained well ahead of our A-minus and A3 ratings. And this position was further strengthened recently as both credit rating agencies positively revised our down-drive of credit metrics for the A-minus levels, and this affords the Group's increased funding -- affords us increased funding headroom. Turning to Slide 67, as this chart illustrates the Group's operating cash flows over the five-year period, had funded both organic investment activities and our dividend payment growth. In the 2014 financial year just completed, our free cash flows were $4.178 billion, where the proceeds from the sale of the Insurance Division and lower net capital expenditure offset our reduced operating cash flows. This resulted -- results in a yearend net cumulative free cash flow position of about $1.4 billion on this measure, and that's after funding dividends up until this -- that point and the November 2013 capital return. Turning to dividends, specifically on Slide 68, as Richard's mentioned, the directors today declared a fully-franked ordinary dividend of $1.05 per share. This takes the full year ordinary dividend to $1.90, which is 5.6% above last year. The full year ordinary dividend represents, at $1.90, represents a payout ratio of 91%, and this is consistent with recent dividend distributions. The directors also declared a fully-franked special centenary dividend of $0.10 today, which results in a total dividend of $2 per share when you combine it with the full year ordinary dividend. The special dividend represents in effect a partial payment of the proceeds from recent divestments, distributing franking credits to shareholders in a timely manner. The record date for the final ordinary and special dividend is the 2nd of September, with the payment date of the 9th of October. The dividend investment plan will continue with no discount to apply. Shares issued will not be underwritten and will be acquired on market to neutralize any dilutionary effect, has been the Group's practice for a number of years. Turning now to capital management on Slide 69. Since 2009, the Group has undertaken a cumulative capital management of some $2.6 billion, which has included the full neutralization of the Group's dividend investment plan, neutralization of share purchases relating to the Group's employee share plans, and last Novembers $579 million capital return. Turning then to today's announcement of further capital management, on Slide 70. As announced to the OSX today, Wesfarmers directors intend to seek shareholder approval to undertake further capital management distribution to shareholders of $1 fully-paid -- per fully-paid ordinary share. This will represent an additional distribution to shareholders of approximately $1.1 billion. The capital management is being made to equitably return a portion of the Group's current surface capital to shareholders and is expected to ensure a more efficient capital structure, whilst still maintaining sufficient balance sheet strength for the Group to be able to take advantage of value-accretive opportunities should they arise. Whilst this is dependent upon a ruling from the ATO, the distribution is likely to comprise a capital component and a fully-franked dividend component. The capital component is expected to represent we think between 25% and 75% of the distribution, and a fully-franked dividend component will make up the balance. The dividend investment plan will apply to the dividend component of that distribution. Consistent with the November 2013 capital return, the distribution will also be accompanied by an equal and proportionate share consolidation of the capital component. This would enable Wesfarmers to provide an earnings per share outcome on this amount similar to that would result from a share buyback, while also ensuring that all shareholders receive an equal cash distribution per share. The distribution, as Richard said, dependent upon approval by shareholders at the AGM on the 20th of November this year. And subject to approval, we expect shareholders will receive their payments in early December. With that, I will now hand back over to Richard who will cover the outlook.
Richard Goyder: Thanks, Terry. Quickly on outlook, which is covered on Slide 72 and 73. The Group will seek to strengthen its existing businesses, seek new growth opportunities, and continue to renew and develop the portfolio in order to deliver satisfactory long-term shareholder returns. The Group's retail businesses are expected to grow as they improve customer propositions through innovation and customer service, merchandise offers and develop and expand channel reach through the growth and optimization of store networks and digital platforms. The retail businesses will also look to further invest productivity gains, better sourcing and supply chain efficiencies into increased value for our customers. Good market positions support a positive long-term outlook for the Group's industrial businesses. Where market conditions are challenging, we'll continue the strong focus on cost and capital efficiency, while always on the outlook for growth opportunities and strengthening our human resource capabilities. On growth, we will be patient and disciplined in any portfolio activities, making decisions which we believe are in the interest of our shareholders. As always, we'll do this with a long-term perspective. Now I'm happy to take -- or we're happy to take any questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] We do ask that in the interest of time, you limit your questions to two per caller, and that clarifying questions are concise. You will then need to re-register for any additional questions. Your first question comes from the line of Michael Simotas of Deutsche Bank. Please ask your question.
Michael Simotas – Deutsche Bank: Hi. Just to start with a question on food and liquor if I can. Could you please quantify the impact of reclassifying expenses from [pickle] discounting from the food and liquor business into the convenience business?
John Durkan: Yes. So the second half impact of the docket discounting was $32 million. And broadly, as we said in our statement, that this impact was broadly half-and-half in terms of one volume unto the restatement in terms of the accounting practices following the ACCC undertaking that we did in January of this year.
Michael Simotas – Deutsche Bank: Okay. So in other words, effectively $16 million of cost shifted from the food and liquor business into the convenience business, is that the right way to [indiscernible]?
John Durkan: Broadly.
Michael Simotas – Deutsche Bank: Yes, okay. All right. And then a somewhat related question, can you please give us some indication of how much of the reduction in promotional spend at both [indiscernible] discounting was redeployed through other promotions?
Unverified Company Representative: We broadly redeployed all of the spend that we had across the board back into two things. One, stronger prices and lower prices, driven, as we've seen, by our deflation number through the year. And secondly, investment in stronger promotions through the second half and continuing into the first half of this year.
Michael Simotas – Deutsche Bank: Okay, great, that's helpful. Thank you.
Operator: Thank you. Your next question comes from the line of Ben Gilbert of UBS. Please ask your question. Ben Gilbert of UBS, please ask your question.
Ben Gilbert – UBS: Hi. Apologies. Sorry I was on mute. Just the first question [indiscernible] that shop you put up in Coles, I understand it's not just [indiscernible] it's relative, so that the supply chain, it looks like the biggest opportunity [indiscernible] on cost [indiscernible] in Coles at the moment. Can you understand -- can you just give us an idea of, one, is this sort of hundreds of millions of dollars type opportunity? And two, the timeline and how far up I suppose in the [ph] list of priorities is now?
Unverified Company Representative: So I'll answer that in reverse. So it's a high on our priorities. And this is the end-to-end supply chain, it's not just the logistics and trucks and sheds that you think of. It's our total supply chain all the way from suppliers to our check-outs. It's -- we won't get to global best practice on this, primarily due to the geography of Australia and the densities in terms of sales densities we see across the country. Best practices is in far more intense geographies. And it's a significant sum in terms of our ability to save costs and reinvest them all back into pricing. So it's high on the agenda and it's a significant opportunity. It will take a period of time because it requires changes in how we flow our stock and the efficiency of flowing that stock from suppliers all the way through to stores. And two, it will require further investment in the infrastructure in the future.
Ben Gilbert – UBS: Thanks. And just second one for me, for John at Bunnings, just related to the comment that you said in the outlook for Bunnings [indiscernible]. Is this [indiscernible] or are you guys gearing up for a [indiscernible]?
John Gillam: It's meant to indicate probably both the things you're talking about there, Ben. We are seeing more volatility. The LD [ph] organization is one that's getting larger and they play in our space 13 or 14 times a year with their promo on the first [rows] that come out and can be quite impactful, and Costco are getting larger. We're seeing more urgency from some of the traditional players and independents and specialists, and that the new entrant clearly needs to do things to get some volumes. So there's a lot going on in this space. As you've seen us refer to in quite a few of the strategy days, the lead point for a defining best offer for us is lowest prices, and we will lead on that, lead strongly and create more value for customers.
Ben Gilbert – UBS: Right. Thanks guys.
Operator: Thank you. Our next question comes from the line of David Thomas of CLSA. Please ask your question.
David Thomas – CLSA: Hi. A question on Target if possible. It's good to see that you are sort of suggesting that customer transactions have stabilized, but, Stuart, you highlighted that you're impacted by a tough May and June. I was wondering if you can give a little bit more color on the impact that that will have throughout FY15 and whether or not you believe that FY14 is still going to be the trough in earnings for Target.
Stuart Machin: Thank you, David. Yes, I mean, a couple of points. Firstly, customer transactions have stabilized for us, so that's good news. May and June was slightly softer than we expected, mainly driven by a warmer winter. So our inventory position is in a much better position in terms of mix, but we still have carried forward some of that autumn-winter product into July and August. I mean just in response to the earnings question, I mean the impact we're expecting with clearance that we're currently going through is not as much as last year.
Richard Goyder: David, it's Richard Goyder. Just on the May/June question. Just from a Group point of view, there's a fair bit of commentary around at the time about impacts of budget and impacts of weather and whatever. Without going into any detail about what those factors were, I think across the board we're seeing a more positive environment over the last couple of months and certainly last six weeks than we did several months ago.
David Thomas – CLSA: Okay. Thanks, gents. Second one, on Bunnings, there's a lot of talk about cannibalization in the market with new store openings. Obviously, John, you've got a pretty good program this year, next year and 2016. I was wondering if you might have some observations around the cannibalization.
John Gillam: Thanks, David. I think I've commented before publicly that, and I wasn't being flippant at the time, that when we opened our second Bunnings warehouse in Melbourne, we've had to learn how to deal with cannibalization, that's a very true fact. We've had quite a sophisticated approach to modeling cannibalization as we look at where new stores would best go, and that's an important part of how we think about the network going forward. I think you can see a picture on Slide 26 or 27 of Old Mindarie and New Mindarie. And part of how we think about things is where, without growing, we need to perform the ultimate cannibalization and move the stores so we can bring everything that we know will resonate with customers into that particular catchment area. If we've got a good existing store network but there are strong pockets that can better be served and will have a more convenient route to a Bunnings while going in another direction, then we'll do it. And in terms of our rule of thumb, once you start getting above 25%, 30% cannibalization on a store, then project impacts will be very adverse. And we think about new capital on a net project basis. So by that, I mean we look at their overall outcome in the market, not just the outcome for the store. So our hill [ph] are the store must be -- the new store must perform well, but it's net -- the net incremental outcome of the capital and what it means in terms of adjusting for all the impacts must meet hill [ph] very strongly. So it's something we've been managing from 1994 with a lot more sophistication around it since -- particularly since maybe 2000.
David Thomas – CLSA: Okay. Thanks, John.
Operator: Thank you. Your next question comes from the line of Craig Woolford of Citigroup. Please ask your question.
Craig Woolford – Citigroup: Good afternoon guys. I just wanted to follow up on the supply chain. On Slide 16, there's information about a more productive end-to-end supply chain. It's said in the way that's as if it's already happened that it's been continued to right-size the DC network and improvements in DC productivity. Can you explain what has already been taken place in terms of that DC network? And then also I'd be interested in whether you think you can rationalize the distribution center network in the next 12 or 18 months.
Richard Goyder: So, since six years ago, I think we've moved from circa 40 distribution centers around the country to mid-20, slightly just below mid-20s in terms of distribution. But there's still -- more work still, and I'll give you an example. We have in Truganina about two years ago, and it's our biggest DC, and it works through the biggest number of cases clearly that we have as a grocery DC. And eventually we will get into bigger, more efficient DCs as our leases and our business grows, and therefore we'll drive more efficiency through that supply chain. We're also looking at the entire supply chain, so I talked about trailers being purchased in Victoria, where they best spoke [ph] for us, they fit the size of our network in terms of our stores, so we have full trucks on the road now in Victoria. We're moving that to Queensland and eventually, again as our agreements come up for renewal, we'll move that across the country. And there are more initiatives to come in terms of the flow of stocks. So we're flowing some product directly now, as an example, from New Zealand, into our warehouses in full container loads rather than do them as we did in the past in pallets and having them touched two or three times. So there's an after-work going in across the network to make it much more efficient.
Craig Woolford – Citigroup: But do you believe that the number of DCs can reduce to the sort of 12 or 14 like you always have?
Richard Goyder: We haven't decided on the number of DCs that we're going to have eventually. And as we work through the network, we'll work out the size that we require and the number that we require. It may not mean that we have to get down to a small amount of DCs. It really does depend on how we want to flow our stocks. So it's not just a one-size-fits-all. And we have a different network to our competitor.
Craig Woolford – Citigroup: Sure. My other question is about new stores. Bunnings is opening 20 stores gross, Kmart 11. Can you complete the blanks in terms of how many store openings, Coles and Target, planned for 2015?
Richard Goyder: So we'll broadly open around the same amount of stores as we did last year. There'll be -- and close broadly the same amount of stores. So we'll continue to remove the sub-optimal stores in our fleet and we'll open bigger, better stores in the right locations, and that's been the journey for about the last six years and will continue. And one of the bigger changes this year, we'll see the fact that we're going to extend towards as many stores as we did last year in terms of the fleet. So the big growth will come out of extensions. And of course we're going to remove the remainder of our fleet over the next three years.
Stuart Machin: Craig, for Target we have eight new stores and three replacements, but also 11 closures, so it balances out to the same number.
Craig Woolford – Citigroup: Okay.
Richard Goyder: Craig, just in case you're going down the line of over-capacity and that sort of question, our divisional board and group-level know we've got we think a very disciplined approach to new store openings, including the discount rate we use on stores, what that is and what it's dependent on in terms of lease terms and where stores are located. We do a review of how stores are performing against the initial CapEx [indiscernible] after they've been operating for 12 months and after they've been operating for 36 months. And the capacity of the divisions to roll out new stores is dependent on the performance of the stores that are being opened. So I think we're very disciplined and very watchful on it.
Craig Woolford – Citigroup: Yup. Congrats, Richard.
Richard Goyder: Thanks. By the way, congratulations. I think you win the prize.
Craig Woolford – Citigroup: Well, closest to the pin.
Richard Goyder: Closest to the pin, that's right. Nearest to pin.
Operator: Thank you. Our next question comes from the line of David Errington of Merrill Lynch. Please ask your question.
David Errington – Bank of America Merrill Lynch: Good afternoon guys. I'm going to burn a question on a clarification on Coles, and then secondly, I'd like to ask Stewart a question on coal which I thought was terrific result. But the first one, John, if I could ask, I'm trying to follow the explanation as to what's going on in convenience, particularly the second half result where sales were up $90 million and your EBIT [ph] was down over $30 million, I think down $32 million. That's the second half. I understand that $16 million is the transference. But when you're looking at your sales being up $90 million and there's less petrol discounting going on, I understand that. But my understanding in convenience is that petrol, the margin isn't that great in petrol, it's the [indiscernible] per liter. And if your sales are up $90 million, then I'm surprised that your EBIT is down as much as it is in the second half. I don't really understand what's going on in that space. And the second thing to comment on Coles, about passing discounts on, it's not consistent with your chart on Page 13 where you actually look at the Coles, boom, look at price inflation. And actually in the last two quarters, your price deflation has probably been benign as it has been in the last three years. So that to me would indicate that you probably have been keeping a fair whack of the discount and not been passing it on. So if you could elaborate and explain that, that would be appreciated, and then if I could ask my question on Coles.
John Durkan: Thanks for the question. So the fuel position is driven by two things. One, volumes have declined over the second half due to the fact that we can no longer give discount to our consumers following the undertaking. That in its entirety explains the second bit of EBIT loss that we've seen for the half.
David Errington – Bank of America Merrill Lynch: The sales revenue was up $90 million, John, that's the thing --
John Durkan: Yes. But the sales revenue is not -- doesn't translate into our margin. It's a whole raft of fuel prices that may have gone up over this period of time that doesn't necessarily head into our margins. So it's not just a straight transfer into our profitability.
David Errington – Bank of America Merrill Lynch: But why not? I mean the trend is towards higher-quality fuels, and when you look at the price differential at the higher quality, and that's going through the roof, so the margin should be actually going up.
Terry Bowen: David, I might [indiscernible] help a bit as well. If we look at the average price per liter, obviously you do get a margin per fuel volume sold, but what you're seeing going through revenue is obviously changing price per liter, so that that can move the revenue around on this business quite a bit without it going through to earnings. So put another way, we don't tend to focus a lot on the EBIT margin of this business as we do what is the EBIT per liter in fuel and then what is the gross margin, or if you like, the profitability of the shop. So I think you're getting a mixed impact when you're looking at your analysis there. I think John's given the right explanation in that the, you know, if you look at the variance in profitability, then half of it was driven, or broadly half, was driven by a loss of volume, and you can make your own assumptions of how much of that was due to changing price relative to changing discount patterns in the half. And then the other half is due to effectively an accounting entry that meant that the convenience business paid for all of the discounts in this half relative to sharing some with the supermarkets in previous periods.
David Errington – Bank of America Merrill Lynch: I still don't understand, but we'll take it offline, Terry. And the price indicator on that chart, because it looks to me, as I said, most benign price inflation set of numbers certainly in the last three years.
John Durkan: Well, our deflation for the year was 1.3%, so, continued investment in our pricing. And there is a whole mixture that go with this. So we've seen a raft of cost increases clearly come into our business during that period of time, and prices reflected in terms of that. But definitely we've been investing back into our core business to drive the higher --
David Errington – Bank of America Merrill Lynch: Is it cost of doing business going up, John? Is it cost of doing business or cost of supply?
John Durkan: No. We've seen a raft of cost increases from our suppliers. But at the same time --
David Errington – Bank of America Merrill Lynch: -- because I don't see many [indiscernible] didn't reflect it. Sorry.
John Durkan: That's all right, don't worry. But as you've seen through our sales for the fourth quarter, we're seeing our sales, probably and our comps, at one of the highest levels we've had in the last four quarters, all driven by strong transactions and basket growth.
David Errington – Bank of America Merrill Lynch: Okay, all right. Thanks, John. If I move on to Stewart -- terrific results in coal. Two questions Stewart. You mentioned the prices have dropped significantly, I'm suppose I'm talking -- I'm looking at the sustainability of that performance in the second half into the full year of 2015, because it looks like you really beat costs very hard, which you've done a terrific job, and pricing has dropped significantly in that fourth quarter. I think price dropped, from about 140 a ton to about 111. How much of that 111 in the fourth quarter impacted in the second half? In other words, was it a delayed impact, which basically means that you're going to get that full headwind in 2015? And in terms of costs, can you give us an indication of what costs were [indiscernible] in 2014? And are you likely to have to reinvest some back in 2015, because the mine might have been, you know, you might have taken a bit less overburden now or you might have cut back on a bit of maintenance? Can you give a bit of a rundown on that quote [ph]?
Stewart Butel: Yeah, happy to do that, David, and thanks for the compliment. The result is a good result compared to our peers and on a relative basis, we're not one of the big guys, but certainly our numbers are strong in a very difficult environment that we currently experience. If you look at FY14, as you said, the prices in Q4 were significantly down. That, we're able to continue to make money in Q4 of FY15 -- 14, sorry. And that reflected I suppose the cost structure that we currently have at Curragh. And at the Investor Relations Day and also in Slide Number 34, you'll see that our costs have come down about 37%, 38% from the peak back in 2012. You asked the question, is it sustainable long term? Look, we think in due course our costs will probably stabilize in that around 30% down, and I indicated that in the Investor Relations Day, and that's probably a good number longer term, but that will take -- that will wash throughout the next year to two years that we'll see costs come up to reflect that.
David Errington – Bank of America Merrill Lynch: Yeah, 111, did you get whacked straight away or it is carried over time that mitigated that impact?
Stewart Butel: Look, I think we indicated 15% or thereabouts carryover tons in Q4. Q1 FY15 is essentially a rollover, so carryover ton doesn't really mean much. So really the conditions we experienced in Q4 FY14 is going to be pretty similar to Q1 FY15.
David Errington – Bank of America Merrill Lynch: Okay, thank you.
Richard Goyder: David, just a couple of things. The slides Stewart referred to is in the supplementary pack, so, Slide 34 in the supplementary pack. As you know, the key factors on this business is going to be export prices, currency, and then the things we can control of volume and cost, subject to weather and a whole bunch of things. I guess, Terry and I were up at Curragh last week, and what Stewart and the team are doing up there's pretty impressive, as is what's going on in Bengalla. And we'll continue to work very hard on the cost side of things to ensure that the business can do as well as it can in the current environment so we're well-placed when things turn, which we think they will at some point.
David Errington – Bank of America Merrill Lynch: They do a good job.
Stewart Butel: Yeah. And just picking up on Richard's comments, the market, I think we are bouncing around the bottom of the market at the moment with that rollout from Q4 last year to Q1 this year. And we are now starting to see some evidence of significant tonnage announcements of coal coming out of the export market, metallurgical coal market. And to date, depending on which article you read or information, you have it somewhere between 20 million and 30 million tons have been announced come out of the market as a result of the current economic conditions.
David Errington – Bank of America Merrill Lynch: Thanks, Stewart.
Operator: Thank you. Your next question comes from the line of Shaun Cousins of JPMorgan. Please ask your question.
Shaun Cousins – JPMorgan: Hi. Good morning, good afternoon guys. Just a question in regards to liquor. Just curious whether like-for-like sales declined in the fourth quarter, and if you could clarify whether liquor remained, it was circa 10% of sales, 5% of EBIT, and particularly given your comment regarding fiscal 2015 being a year of transition, just curious about how quickly some of the store closures start to impact your business on a positive side given it seems you're closing loss-making or low-margin, low-productivity stores please?
John Durkan: So we saw a better performance in our liquor business in the last quarter, albeit relatively small, but we saw an improved position. Certainly in transactions and certainly across our Liquorland brand more than anywhere. In terms of the impact of the coming year, I think it'll take some time to sort out all the things that I talked about. We will start to close stores. We will do it -- clearly we've got to make sure that we can deliver in the right way with the leases that we have on those stores. And we will see some small impact I think through the year. But it literally is a year of transition for us, and I don't expect a great performance in terms of either sales or EBIT till the backend of the year. So, a lot of work going on, as you can imagine, across all the aspects that I talked about.
Shaun Cousins – JPMorgan: And sorry, just to maybe -- the 10% of sales, 5% of EBIT, is that still the case?
John Durkan: So it's broadly where it's been for the last few years.
Shaun Cousins – JPMorgan: Okay. And just a question for Tom on [indiscernible] can you just talk a bit about the extent that AN3 volumes are contracted? And just curious about the quantum of the outage impact on EBIT in terms of the AN2, the nitric acid. And then finally, how we should think about overall EBIT for fiscal 2015 given you sort of have AN3 coming in at the first half -- first half 2015, but then you've highlighted around $50 million in terms of implications from sort of ammonia pricing and the like there, so, and [indiscernible]? So I'm just curious about how all those sort of moving parts works out please.
Tom O'Leary: Sure. Starting on the nitric acid and the outage last year, as I said at the half, I'm not planning on being specific about the lost earnings from that. I said in May that we'd lose in the order of 65,000 tons, so I wouldn't really add to that. The market's a pretty competitive space at the moment and I can't say a lot of value in disclosing earnings that we might have been expecting to generate on those tons. So as and when we receive an insurance recovery, I'd be calling that out. Moving to AN, what I've said in the past is that, in particular at Strategy Day, I said that we've got long-term offsite contracts in place, and as contracts stand today, if all of our customers took at their maximum levels, we'd be selling around 100% of our expanded capacity, our total capacity, into domestic explosives. But as I also said, we don't expect to do that. We expect to sell more like 75% to 85% of our total capacity, our 780,000 tons, into the domestic explosives market, and export or put the rest into fertilizers. Now we'd always planned to do that. We'd always expected to put product into the export market [indiscernible] because as you know the demand for domestic explosives tends to grow in, broadly, in a straight line, while ammonium nitrate expansions are of a necessity, they're steps, and in that case, they're 280,000 tons per step. So this year the mix will dictate that a lot of product will go into the export market, which is obviously lower margin, but in 2016 and 2017, we'd expect that to improve as the domestic explosives sector and the demand grows there. In terms of overall expectations for 2015, I can appreciate it's not that [indiscernible] a couple of things. When I looked at various forecasts for 2015 from analysis and the like, it seems to me that, notwithstanding the comments we've made about gas costs and ammonia at the half and carbon [ph] abatement at the Strategy Day, that not -- it seemed to me that many had not taken to account the impact of those. So that's why I thought we should call out the aggregate $50 million reduction more specifically. And aside from that, there are other negative impacts this year that -- including the continued decline in LPG content, but also the loss of earnings following the sale of that business at the -- and the completion of the sale in January. But against that, we've got AN3 coming on, and we're not anticipating any lengthy and planned outages this coming financial year. But when I look at our 2014 earnings that we've just announced, and the expectations for underlying earnings in 2015, those positives, they've got a long way but they don't offset the entirety of the impacts of gas, carbon, LPG and ALWA. So that's what I'd say.
Shaun Cousins – JPMorgan: So, just to be really clear, that means that EBIT will also go down 2015 on 2014 just --
Tom O'Leary: Yeah. What I'm referring to is underlying earnings from our continuing business, not expected to offset those negatives, yeah.
Shaun Cousins – JPMorgan: Okay. All right. Thanks.
Operator: Thank you. Your next question comes from the line of Tom Kierath, Morgan Stanley. Please ask your question.
Tom Kierath – Morgan Stanley: Thanks. Just got a question for John at Coles. Just it looks like there's an acceleration in the renewal stores or conversions that are going to happen over the next three years. Could you maybe talk about if we should expect an increase in CapEx, increase in selling area, and ultimately I guess an improvement like-for-like as a result of that?
John Durkan: So, thanks for the question. Yeah, we're going to accelerate the tail of our renewals. And broadly they are smaller of our stores because we've renewed quite a number of our largest stores. And the CapEx per store differs from the first lot that we did. So overall CapEx in Coles isn't expected to dramatically change in the next while. And our renewal, as I said, our renewal program will move at a higher pace. We do see comp improvement on stores that we renew and it clearly does depend on the amount of CapEx we put into each of those stores. The CapEx does vary quite considerably between the stores going forward. And lastly, our space growth will, as I said in May, will increase marginally on where we've been in the last 12 months. We've got a strong pipeline of stores coming to us, both from new stores but also from extensions. But I think going to the earlier question by someone, we're very wary of making sure that we're putting down the right amount of space and the stores that we've chosen tend to be in strong locations and they're slightly bigger, only slightly bigger than the stores that we have in our current portfolio.
Tom Kierath – Morgan Stanley: Thank you. And if I can ask Stuart a question at Target. Just on the -- if you can give us a snapshot of the level of provisioning that provide in your business and how much provisioning you've used over the last couple of years.
Unverified Company Representative: Yeah. Look, most of it's been used up, so I wouldn't be thinking there's a load of unwinding [ph] and provisioning and things that could, you know, I think that's all pretty washed story.
Tom Kierath – Morgan Stanley: And in terms of the FY14 date, was there any provision impact in there that is kind of one-off or is -- I'm just trying to get a sense of what the underlying performance is on Target.
Unverified Company Representative: I think, Tom, to be completely honest, 86 is a realistic number. That's exactly where the business is at. There was a few benefits in the year with some cost savings and likewise some additional costs with clearance, but 86 really sums up where we are.
Tom Kierath – Morgan Stanley: Great. Thank you.
Operator: Thank you. Your next question comes from the line of Grant Saligari of Credit Suisse. Please ask your question.
Grant Saligari – Credit Suisse: Thank you. Just one follow-up for me on the chemicals. Look, I just wonder whether you could disclose any more on the basis of price in the gas contract and the potential for gas costs to increase in subsequent years either from this contract or from other contracts following on.
Tom O'Leary: Yeah, Grant. So I'm not going to be more specific about the pricing in our gas contracts, but I can say that those contracts that replace the ones that have run off last for the next few years, so, no, there's not going to be any further significant uplifts in gas costs.
Grant Saligari – Credit Suisse: And the potential for other contracts to roll off, is that where you say they last for the next few years so --
Tom O'Leary: That's right, yeah.
Grant Saligari – Credit Suisse: -- another step-up in gas costs in subsequent years.
Tom O'Leary: That's right. Yeah.
Grant Saligari – Credit Suisse: And just if I could just, again, just to follow up on the chemicals business on there, just in terms of any pricing pressure, are you noticing any pricing pressure? I think you called out, obviously coming through from coal, but are you seeing any pricing pressure coming through an ammonium nitrate into the mining sector?
Tom O'Leary: Look, there's always pricing pressure, Grant, but as I've said several times, we have long-term contracts in place and we're a longstanding and reliable supplier to the local mining sector, so I think we're in good shape on those contracts.
Grant Saligari – Credit Suisse: Okay. All right, thank you. That's it for me.
Operator: Thank you. Your next question comes from the line of Andrew McLennan of CBA. Please ask your question.
Andrew McLennan – CBA: Good afternoon. I just wanted to follow on supply chain. Obviously you're continuing to tinker around there, but I'm more interested to talk about the longer-term pieces about a complete re-engineering. Obviously there's been a significant technological advance that also had been -- sort of new way that consumers are actually buying and being serviced through the retail channel. I'm just wondering, given all of these changes, a complete overhaul appears to be what's required or what the opportunity may be for Coles. Can you just give us an understanding of why during this constant tinkering when realistically the biggest depth [ph] is required, and just in terms of timeframe about when an execution of such a big supply chain upgrade might actually take place?
John Durkan: So I'm not sure I'd agree with your comments on tinkering around. We've made material changes to our network, moving from more than 40 DCs to mid-20s is a material step. And we've invested a serious amount of capital in new infrastructure during that period of time. We will continue to logically work through our supply chain and investigate all avenues, we've looked globally at best practice in this area. There aren't many geographies with the size and scale of Australia, so we just need to be careful we've got a logistics network and a supply chain network that works for our business. So I think we'll continue to make some significant steps in lowering our costs throughout our end-to-end supply chain. I'm not sure that we're going to have a wholesale transformation of it during the next period of time.
Andrew McLennan – CBA: Okay. Are there any particular constraints around --
Terry Bowen: Sorry, Andrew, I might just add -- I just might add to that, just to make sure there's no confusion and we're not comparing apples and oranges. When we're talking distribution centers, we're talking basically all of Coles distribution centers. So if you're talking about Ambient frozen or fresh, that's within that number. We don't add up a park where there's three of those distribution centers under one location and call it one location. So when we're talking about 20-odd distribution centers, that may -- just when you're doing your benchmarking and comparisons, just make sure you're comparing apples and apples. Because I think it would be under that scenario, I find it difficult to understand how you could get down to say 12 distribution centers when you're going to have three different types of center, and multiply it by probably four or five states, you're going to get to 15 pretty quickly, and before you worry about liquor and things. So, just make sure. So I think that goes partly to John's comment that this isn't tinkering. This is -- there's been significant change.
Andrew McLennan – CBA: Yeah. That's good clarification. Just in terms of any constraints from leases or some other kind of contracts? Is there anything that's inhibiting further work?
John Durkan: No, we have no constraints on any of our leases. And we work well with all third parties that we have, and also the network that we run ourselves. And a good examples of those are our Victorian network and now our Queensland network where we have complete transparency and actually own our own trailers. So this is working reasonably well.
Andrew McLennan – CBA: And sorry, you mentioned that you've invested quite a significant amount of capital. Can you just give an indication of how significant that is just in supply chain terms?
John Durkan: Well, we don't quote the individual numbers, but it's, over the last five years, it would be a reasonable proportion of our number in terms of CapEx. Truganina as an example being 700,000 square feet is a good example of where we would have put significant capital into a DC operation.
Andrew McLennan – CBA: Okay, thank you. I might take the rest offline. Cheers.
Operator: Thank you. There are no further questions at this time.
Richard Goyder: All right. Well, thank you all very much for joining us. And if there's anything Mark or others can do to help clarify, we're happy to do that. Otherwise, have a great day.
Operator: This concludes our conference for today. Thank you --